Operator: Greetings and welcome to ClearPoint Neuro's 2020 Third Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Comments made on this call may include statements that are forward looking within the meaning of securities laws. These forward-looking statements may include without limitation, statements related to anticipated industry trends, the company's plans, prospects and strategies both preliminary and projected and management expectations, beliefs, estimates or projections regarding future results of operations. Actual results or trends could differ materially. The company undertakes no obligation to revise forward-looking statements for new information or future events. For more information, please refer to the company's Annual Report on Form 10-K for the year ended December 31, 2019 and the company's quarterly report on Form 10-Q for the quarter ended June 30, 2020, both of which have been filed with the Securities and Exchange Commission and the company's quarterly report on Form 10-Q for the quarter ended September 30, 2020, which the company intends to file with the Securities and Exchange Commission on or before November 16, 2020. All the company's filings may be obtained from the SEC or the company's website at www.clearpointneuro.com I would now like to turn the conference over to Joe Burnett, Chief Executive Officer. Please go ahead, sir.
Joe Burnett: Thank you. Brock and thank you to everyone participating in today's call. I would like to start by saying that during the third quarter we are encouraged by the return of many elective and pseudo elective procedures, leading to our case volume rebounding to 200 cases covered here in the United States. I continue to be very proud of our essential employees in manufacturing and in our field clinical support team. Despite personal risk to themselves and repeated travel challenges, our team was able to ensure that every hospital and patient that requested to use a ClearPoint received it. We continue to show up when these very sick patients needed the most. I'm also very excited as we have continued to make progress in all four of our strategic growth pillars including neurosurgery navigation, biologics and drug delivery, in-house therapeutics and creating global scale. With all the uncertainty the last three months have offered, we all kept our heads down to ensure our development and strategic pipeline continue to move along even when much of the world was paused. By no means have we put the pandemic behind us, we currently have a number of hospital customers that have reduced surgeries due to higher COVID hospitalizations and a number of patients in high risk categories that continue to be reluctant to leave their homes to get treatment. Nonetheless, we are confident in our team and in our direction and we continue to believe that ClearPoint will exit this pandemic in a stronger position than when we started. I will now turn the call over to Hal to provide detail on our financial performance, after which I will highlight some progress across our 4 strategic growth pillars before answering questions. Hal?
Harold Hurwitz: Thanks, Joe. Total revenues were $3.5 million for the third quarter of 2020 and $2.9 million for the same period in 2019, which represents an increase of $592,000 or 20%. Drilling down on the components of revenue, functional neurosurgery navigation revenue which consist of disposable product commercial sales related to cases utilizing the ClearPoint system decreased 1% to $1.8 million for the third quarter of 2020 from $1.9 million for the same period in 2019. This decrease reflects the continuing effects of the COVID-19 pandemic in which elective surgical procedures that were postponed or canceled at the outset of the pandemic have resumed albeit at volumes that have not yet reached pre-pandemic activity Biologics and drug delivery revenues which include sales of disposable products and services related to customer sponsored clinical trials utilizing the ClearPoint system increased 162% to $1.5 million for the third quarter of 2020 from $564,000 for the same period in 2019, primarily due to an increase in biologic and drug delivery service revenues. This increase in biologics and drug delivery service revenues is attributable to the establishment of additional relationships with biologic and drug delivery companies that include period-based retainers for clinical services in support of such companies' respective clinical trials. Capital equipment and software revenue consisting of sales of ClearPoint reusable hardware and software and related services decreased 48% to $200,000 for the third quarter of 2020 from $400,000 for the same period in 2019. While revenues from this product line historically have varied from quarter-to-quarter, the Company believes that many hospitals have postponed capital equipment acquisition activities due to the COVID-19 pandemic. The company achieved a gross margin of 80% on its sales for the third quarter of 2020 compared to a gross margin of 66% for the same period in 2019. This increase was due primarily to a shift in the mix of revenues by line of business that resulted in service revenues, which bear higher gross margins in comparison to other product line, representing a greater contribution to total sales for the third quarter of 2020 relative to the same period in 2019. Operating expenses for the third quarter of 2020 were $4.1 million, a 43% increase from operating expenses of $2.9 million for the same period in 2019. This increase was comprised of research and development costs, which increased 59% due primarily to increases in headcount and increased project activity. Sales and marketing expenses which increased 40% due primarily to increases in headcount of the company's clinical specialist team to prepare for case volume growth anticipated in 2021. And general and administrative expenses which increased 33% due primarily to an increase in company-wide share-based compensation and a reduction of the allocation of shared departmental resources to production due to the reduced manufacturing activity as an effect of the COVID-19 pandemic. Net interest expense for the third quarter of 2020 was $201,000 compared with $213,000 for the same period in 2019, primarily due to a decrease in the amortization of the discount associated with notes we repaid and retired during the first quarter of 2020 and to the repayment and retirement of other notes in June 2019. This decrease was substantially offset by the increase in interest expense associated with the secured convertible notes we issued in January 2020. Operating loss for the third quarter of 2020 was $1.3 million compared with $900,000 for the same period in 2019. Cash and cash equivalent balances at September 30, 2020 were $14.7 million. With that, I will now turn the call back to Joe.
Joe Burnett: Thanks, Hal. We are thrilled with the financial progress we saw in the third quarter, where we rebounded to a new record in revenue, particularly through our diversification into the biologics and drug delivery space, where we were able to show progress in the face of COVID related challenges. I will now add a little additional detail about that progress toward our four-pillar growth. For pillar number one, Functional Neurosurgery navigation, we saw both cases and revenue rebound to almost pre-pandemic levels of 200 cases and approximately $1.8 million in revenue. As I highlighted earlier in the call, the impact of COVID-19 is not fully behind us and at the very moment we have lost cases due to hospitals overwhelmed by COVID hospitalizations, as well as in some cases key hospital staff being quarantined themselves. While we do not expect a full shutdown as we saw back in March and April of this year, we do continue to expect to see certain hospitals open and close periodically until a time when a reliable vaccine for high-risk patients and hospital staff is readily available. On a case standpoint, our best estimate is that we are currently operating at about 80% to 85% of where we would expect to be had the pandemic not rooted itself in some of our hospitals. We did use the sign however to continue progress on our pipeline of additional navigation tools. In the last three months, we successfully entered full market release for two new products. First, our inflection had fixation frame which enables easier trajectories by safely pending the patient on their back before rotating them over, thus making existing workflows faster and further enabling two procedures a day. Second, we expanded our accessory kits by offering now a 5 French and 7 French kits to complement our historic 4 French kit. This allows larger devices to benefit from a Peel-Away sheet that can keep an open channel to the target. This is important because every time you have a device through healthy brain tissue, you risk additional hemorrhage and side effects and these sheets allow a single path to create an entry point for multiple steps of the procedure. We are also encouraged that the freeze on new product evaluations has somewhat subsided and that we will again be able to introduce new sites to the ClearPoint portfolio. And while we do not expect significant capital sales the rest of 2020 by starting these evaluations over the next three to six months, it allows us to get back into the hospital's capital budgeting process to close by the end of next year. For pillar number two, biologics and drug delivery, we've added five additional customers since the pandemic began and resulting in approximately 25 active biologics partners. Again, COVID has certainly had an impact on enrollment in these trials, as well as starting new centers globally. However, we have made progress developing custom cannulas, custom needles and custom software for the gene therapy and stem cell space and look forward to incorporating these tools into formal clinical exploration in the future. All in all, our biologics business is the one pillar that is growing faster than we expected going into the pandemic despite these clinical delays. For pillar number three, therapy products, we continue to be encouraged by our partnership with CLS in Sweden. CLS successfully earned CE Mark for their laser system the TRANBERG for use outside of Neurosurgery. Now while this does not allow us to do any cases today to treat neuro disorders or tumors, it does allow our team to begin to get clinical experience in Europe and other parts of the body with a similar system that will undoubtedly allow us to continue improvement and begin necessary field education. And finally, pillar number four achieving global scale; we successfully hired the first members of our clinical support team in Europe. This will allow us to begin supporting biologics cases in Europe for pharma partners that are based in CE Mark countries who will now be able to include ClearPoint into their study protocols, as our team will be present on that continent. This is a significant strategic investment that you can see has impacted our OpEx to some extent, but we believe the time is right and necessary for us to be viewed as the premier partner for biologics and drug delivery. If we do not have an active presence in Europe, then we cannot meet our full potential. Furthermore, you can see that our gross margin for the quarter grew to 80%. Now while we do not think that's sustainable right now quarter-to-quarter as it reflects a disproportionate mix of disposables and clinical services compared to capital sales, I think it does provide a good indicator of the margins possible for the razors in our razor/razorblade model. In total, we believe that barring a massive shutdown of hospitals here in the US for elective surgeries that we will exit 2020 with revenue between $12 million and $12.5 million for the year. With that, I would like to open up the call to any questions that the participants might have.
Operator: Thank you. [Operator Instructions] Our first question today comes from Andrew D'Silva of B Riley Securities. Please proceed with your question.
Andrew D'Silva: Hey, thank you very much. I'm glad to hear everybody is doing well, just a few quick questions for me. To start - hey how is it going, thank you. On a bookkeeping front, is it possible to get a rev break as it relates to product and service breakout by category, as it relates to biologics and drug delivery? And then if there is a breakout for therapy revenue and/or capital equipment? And then while how is pulling that, Joe, could you give any color around how many clinical trials you're involved in currently, I mean you mentioned adding five new clients, that's a really good cadence, I'd be curious how that's translating into clinical trials and has there been any color on when is expected for your first biologics partner to obtain an approval?
Joe Burnett: Sure. Let me start with the addition of new partners. I think what we - the comments I just made show that we added about five additional relationships if you want to say since the COVID situation began. So the cadence there is about one every six weeks or so give or take. Many of these start in a much more foundational time, what I mean by that is the sites themselves or the relations with themselves as a company that has just received funding or is well along in the formulation of their biologic itself and has now moved to the next step of how do we actually deliver it. So it's very common that when a customer shows up on our accounts of the 25 relationships that we have, it normally begins with a number of consulting calls and regulatory calls and has progressed at least until the point where they have actually purchased some products or services from us. So maybe they purchased Pen cannulas to do their first preclinical data, maybe they've asked us to do some hydration experiments or viscosity experiments for them, but effectively some transaction has at least placed - taking place to get to that point. Now, as you can imagine getting from there to a human clinical patient generally does take some time. So what we're constantly doing is fostering all of those relationships through the process. I believe I think in the - since COVID began so let's say in the last six months anyway, our products have been used in two additional clinical trials, at least ones that I can think of right away. However, we have not necessarily listed those because again we try to keep it confidential as our partners sometimes request, we do until an appropriate point. That's kind of where we are on the biologics relationship side. Hal, do you by any chance of any of the data available, sorry Hal and I are not in the same location, so I can't look him in the eye and ask him.
Andrew D'Silva: No worries, that's okay. He might be on mute.
Joe Burnett: Yes. Andrew why waiting for Hal then, can you, what was - there was a third question too?
Harold Hurwitz: Okay. Guys, I was on mute, I apologize.
Joe Burnett: Okay.
Harold Hurwitz: Andrew, I was going to say, we'll have a very nice table laid out in the 10-Q that we'll be filing in a couple of days, but suffice it to say for now that substantially all of the service revenue that you see on the income statement that accompany the press release was represented by biologics and drug delivery.
Andrew D'Silva: Okay. So there really wasn't much in the regard to therapy revenue either as it relates to services or product nor was there much capital equipment revenue as it relates to services or products?
Harold Hurwitz: There was a little bit, but as I say, substantially all of that line item was biologics and drug delivery.
Joe Burnett: Andrew, when we talk about services in the two buckets, so services and biologics and drug delivery, the two most common flavors of that is again a company hiring us to support their cases clinically and handle infusions or co-branding or marketing or things like that, that sort of one type of clinical services. This could include pre-clinical support, this could involve trial design a number of different things, so that's one side of it. The second side that would fit into biologics is also us developing custom products or software. So someone might hire us to develop an application that will do some specific feature during a case in the future either during their trial or for their commercial launch. So those are the two types of services that generally exist in biologics and drug delivery. When you see a service line in capital, effectively what that is, is the service contracts to support the systems themselves. So if a system were to break in the field and it's not under warranty and the customer would have purchased a service contract, at which point we would replace it. So that's really the distinction between services that you see.
Andrew D'Silva: All right. Great, thank you very much for that clarification. And then the last question I had previously asked was just related to of any discussion about when it would at least be anticipated for your first partner to obtain an FDA approval?
Joe Burnett: I always rely on some of the partners' sort of publicly available information to answer that. I do believe PTC has recently communicated as an example that they are expecting a commercial approval, at least somewhere in the world in 2021 if not in a couple of major geographies. I think it's also important that they pointed out as well that their efforts have gone on to look for patients if you will, again these are very rare disorders and very sick patients well beyond the core number of countries that they initially begin. And I think they were targeting five or six countries to start that search for these patients expanded beyond that. So whether these patients get treated under a compassionate used protocol in certain countries, which is certainly a possibility or they get treated under the actual commercial approval. Our participation and our support of those cases would be the same in each day.
Andrew D'Silva: Okay, thank you for that. And this is my last question, you did give a little color on this earlier, effectively as it relate to that contract research organization ESK [ph] sales channel that you're developing right now. Can you talk around how you see that evolving, maybe what your discussions are like right now with clients and customers that maybe aren't utilizing you in that function, but what that could possibly mean if they did going forward?
Joe Burnett: Yes, I mean I think we have the benefit of again working with 25 different companies and understanding their needs and most importantly understanding what needs are consistent across all of them. So rather than each and every company trying to recreate the wheel and answer and ask the same questions and contracts with different experts in the field, if we can be the accumulation of that knowledge and then provide that as an added service, I think that's something that we're very interested in doing. A lot of it actually begins with not just pre-clinical design and bench testing, which we're certainly capable of doing the device side of that, whereas we need to grow into more of the biologic side, but many preclinical tests are in fact testing the infusion, the injection, the mapping all of those types of things, which is a skill set that our current team of clinical specialists can also provide. So really it creates quite a bit of leverage for us to be able to have a clinical specialist cover two or three cases one week and then the next week they might be on assignment working directly with the company in the lab, doing some additional work. So, I think that's something where it doesn't require invention for us to grow into it. And I think we now have that base of hopefully satisfied customers that would the word will get out that this is an additional service we can provide
Andrew D'Silva: And roughly about how many are utilizing that right now out of the 25?
Joe Burnett: I'd say more than half are using to at least some level, meaning that they brought up earlier on the call a bench top viscosity task to determine flow rates through the SmartFlow cannula, similar to some of the software targeting software. There is a number of companies that we're actively working with there, but I'd say 50% or so right now.
Andrew D'Silva: Okay, great. Thank you very much for answering my questions. Congrats on the snap back and good luck closing out the year.
Joe Burnett: All right. Thanks, Andrew.
Operator: The next question is from Sall Yanchus of Brookline Capital. Please proceed with your question.
Sall Yanchus: Hi, Joe. How are you? Good, good, thanks. Thanks for holding the call, I have a question is probably for how I see R&D in the third quarter was up sequentially a lot from the first quarter to $1.2 million, do you expect that level to continue in the fourth quarter?
Harold Hurwitz: The expenditure levels, yes, the rate of increase, no. As I mentioned, the rate of increase was due primarily to additional people and additional projects for which those additional heads were hired. But no I don't see the rate of increase at nearly that pace.
Sall Yanchus: It should be - will it probably above $1 million in the fourth quarter?
Harold Hurwitz: Yes, my anticipation would be - that would be my anticipation.
Sall Yanchus: Okay. And then I don't know, Joe, are you going to announce who the new customers are for the drug delivery and Gene Therapy, will you release the names of company or…
Joe Burnett: We - yes, I mean we're in constant dialog with these companies as to when an appropriate time is, but as you know it's a very proprietary piece of information as to technologies and strategies, especially when many of our partners might be going after the same indication. So we really don't like to follow their lead and when they're comfortable with it, that's when we would announce.
Sall Yanchus: Okay, good. All right. Well, thank you and I'm so glad to see a rebound in the third quarter. Very good news. Thank you, no more questions.
Joe Burnett: Yes, thanks, appreciate it.
Operator: Okay. The next question is from [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hey, guys. I have a question about the complete laser solution that you guys are expecting to launch. Have you disclosed how that's going to impact revenues and margins?
Joe Burnett: I do not believe - I believe what we have disclosed is that it should be a similar razor/razorblade model and we continue to expect the margins of the razor blade to be maybe not directly at launch, but be able to achieve that 70% margin on the laser side. So we're really replicating, it really kind of marries itself very well to our technology because our navigation system has a computer, the laser has generator, they both run similar software, so that becomes the new combined razor and then similar on the disposable side we'll be selling our head frames as well as our laser fibers into the exact same case, so that will be the higher margin part of the acquisition.
Unidentified Analyst: So if I was to look at the number of cases that you guys do right now is roughly how many cases would that impact?
Joe Burnett: So about 35% of our cases today, maybe a little bit higher than that are laser ablation cases. So if you think about what the impact would be, I mean, again, if you think the capital out of it and the system itself and you're just looking at the per case revenue, you'd effectively see a per case going from about $6,000 in revenue for just our navigation up to anywhere from 12 to 15 or even more depending on how many lasers they use during the case itself. So we're effectively 2x or 3x revenue opportunity in that particular case versus what we're getting today.
Unidentified Analyst: Okay. So that's…
Joe Burnett: That's of course of every one of our existing users switch to our laser. We're going to continue to support base related cases continue to support Monterra's cases whatever the patient needs to be treated, we're going to be there for them. But again we're not developing this product in the dark, we've got active relationships with neurosurgeons that do laser procedure and they're assisting us in the development of this today.
Unidentified Analyst: Okay. So if we were to estimate roughly how that impacts revenues right now, would it be safe to just say roughly 30 versus - roughly one-third of your cases would result in - if you were to switch all over to the new laser would result in doubling that portion of the revenue?
Joe Burnett: That's correct, yes, I think that with that same assumption that if everyone switches that we're currently working with then yes, I think that would be conservative, yes.
Unidentified Analyst: What compose those people to use the other dealer solutions if you're coming in with your own?
Joe Burnett: I think there's a number of just streamlined advantages that we would have and we'll certainly have to compete for each and what each and every one of those. I think above all ours is going to be a faster simpler solution the way that it's designed and especially when it's used in concert specifically with our navigation system. So you've got one workflow, as well as one clinical specialist that is now responsible for the success of the entire case. So there is no hand off during the procedure. We found over and over again that many surgeons have sort of complemented us on that priority because they don't like two people being responsible for the same outcome. They'd really like to have one person assisting and I think that's - we offer as well.
Unidentified Analyst: Okay. And then I have one of the questions about the AADC trial that's coming out for PTC, they're estimating that it's going to be approved and potentially launched mid next year. But they mentioned that many of the patients are in Europe and I know you guys are in Europe, how would you be treating those patients, would you be selling your platform to new sites in Europe?
Joe Burnett: That's correct. Yes, so we actually - as I mentioned earlier in the call, we have hired our first European employees. COVID certainly made it a little more difficult to go through the training process, but we are actively working on evaluation and placement contracts with a number of centers across Europe that we see as being used PTC centers of excellence. So the preparation to be ready and get those sites familiar with cases doing either deep brain stimulation or biopsy or tumor ablation. So that's a very first case that they do is not one of these kids with AADC deficiency. We want to make sure that not just our team is there in present and able to assist, but that the hospitals themselves have had some positive experience with the product.
Unidentified Analyst: Got you. Okay. And then…
Joe Burnett: To put it in perspective, if COVID hasn't hit, I would imagine we would have four or five active European centers already and it's directly one for one-month delay so far.
Unidentified Analyst: So that kind of goes into the next question I had was on some of the larger trials that are targeting over 100,000 patients, how do you intend to scale up to meet that, are you guys - is there a particular plan that you guys have in place to scale up and then what's - I don't know if you disclose like what the capacity is at the 60 sites that you're doing, how many cases you can do with those?
Joe Burnett: I think there is - I would think of it in two stages. So the first stage is number one, there is going to be a ramp to get up to any meaningful volume. So even if these sort of larger Parkinson's, Huntington's disease tumor related projects, even if they really get all the way to FDA clearance, there is still the process of reimbursement, there's still the process of patient outreach and education of neurologist to be able to refer patients even to get to the surgeon in the first part. So it's definitely not putting switch and it takes a little bit of time. However, with those first commercial clearances, which again could be for at least for the rare disorders could be next year as we've already talked about. That really, I think sort of open the floodgates as to what yet and what could happen and what could these volumes really look like. And in that case, it becomes a lot less hypothetical and more all right how are we actually going to solve this problem. And I think the reality is that, the future of Neurosurgery probably around the world is not 250 or 2000 centers doing one case a month, it's going to be concentrated in a much tighter group of centers of excellence that are trained to do three or four procedures a day and just turn it almost like a lean manufacturing line. And I think it remains to be seen exactly who those centers are, but undoubtedly it will create an opportunity that will be filled by partnerships and surgeons that want to set up these centers of excellence or co-owned joint ventures with either big iron companies or companies like ourselves, etcetera, that if it really appears that demand is there and real, then it's really just it's math and some investment that gets you the rest of the way. I mean the reality is that the good thing for us is that even though we are active today in MRI scanners and that's kind of where our world is focused, it doesn't mean we're always going to be only locked to MRR, we're also doing some work in the operating room as well. But most importantly, we don't need a seven Tesla scanner to do what we do, in fact we can use a 1.5 Tesla scanner and have exactly the type of imaging we need for this type of - these types of procedures. So I mean you can imagine a situation in the future where a neurosurgery center of excellence might have five older 1.5 Tesla scanners and then they become the place that you get referred to and maybe even hop on a plane or travel to get these procedures done.
Unidentified Analyst: Okay, got you. That's all the questions I have.
Joe Burnett: Okay.
Operator: The next question is from [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hi, congrats for the results. I have two quick question landscape. The first one, if you can say about the rules of the Biomet, they announced that in the release that next year they're expecting their ROSA comes online. I wanted to just see what's your take away, what's your reaction to the ROSA versus your solution? And the next one is the last if you have this news of Biogen and Alzheimer's solution, I know it's FDA rejected, they couldn't have the confirmation by FDA. My question is, what would be your reaction if this solution for Alzheimer were approved, what would be the effect on your long-term approach? Thank you.
Joe Burnett: Yes, fair, thanks for the questions. So, I'll start with the first one, which is related to the ROSA robotic platform. There are additional robotic platforms out there as well, the Medtronic Mazor is an example of that too. We see ourselves as very complementary to that. And what I mean by that is that certain indications and certain types of procedures lend better to a robotic platform versus what sort of what we do. And to be clear, we are building our own robotic platform albeit at a much simpler level, we're not trying to replace everything the surgeon does, we're just trying to replace the most annoying parts and time-consuming parts of the procedure. So that's something that we are actively doing along with our ClearPoint platform. But to put it in perspective, a - if you need to deliver an agent or therapy of some kind to a target deep in the brain and you only need to use two, three, maybe four trajectories, then you can do it inside the MRI magnet, you can use our tool, this is something for like the brain stimulation, this is for laser ablation of a tumor, those types of things. So we're - if you're going to go after two or three trajectories, I think that's where our workflow and access to time in the MRI magnet makes a lot of sense. You compare that to something like ROSA where - it's terrific technology and you think about an application like stereotactic EEG right? So here's a situation where now you actually have to drill 15 holes in the patients head, place these electrodes at certain specific depth and then record the patient over the next three weeks and wait for a seizure to take place in an epilepsy patient, okay? That's something you're never going to use ClearPoint for because there is no way you would use our level of precision for something like that and you likely wouldn't be doing that procedure in the MRI either. So we see - I'd say every single one of the hospitals that are almost all the hospitals we're in today have both us and another Medtronic - another robotic option. So it's not to say that they are completely cannibalistic or anything like that, but that's how I view at least on the first question. The second question as it pertains to Alzheimer's, again if you think about the things that we do really well as we get a therapy to a very specific target in a precise manner possible, okay? So that lends itself to functional disorders, where it's just one region of the brain is where the disorder is taking place. So in an epilepsy patient, the seizure is generated generally originating in one location, in a Parkinson's patient you're going after a specific target based on how the patient presents. Alzheimer is something that all the research seems to indicate there is a much more global phenomenon. So it's more likely that a treatment, at least on the pharmacological side would come from something that could impact the entire brain almost like bathing the brain in an agent as opposed to delivering something to one target. So while we are active in some work in the deep brain stimulation side of treating Alzheimer's, on the pharma side most of our work has been more on these functional disorders today. So hopefully that helps.
Unidentified Analyst: Okay, thank you. Appreciate it, thanks.
Joe Burnett: Fair.
Operator: The next question is from Henry Melon of Melon Group LLC. Please proceed with your question.
Henry Melon: Hey, Joe. Well done.
Joe Burnett: Hi, Henry. Good to hear from you.
Henry Melon: Yes, likewise. I was wondering if you could shed some color on PTC, AADC when that does get approved. I know this is me talking about, PTC said they've identified 300 patients. When that gets launched is it kind of like a snowball effect you start with one. Can you kind of give a description what that would look like as far as the - on the numbers?
Joe Burnett: I can, I can at least add yes for more color, so I can do that. I can perfectly -
Henry Melon: You're not in control of it of course, but I realize that - but I understand that's a dire disease and you've got 300 these kits or identified like because that look like to you as far as the launch?
Joe Burnett: Yes, no, I think that's right and I think the fact a lot of these children are up against the clock to some extent, where to get clearance and then not get treated for 3 years after that is a missed opportunity added development and, in some cases, extending the life of these children as well. So I do think that the not just to have a chance as it's been so far, there would be sort of fast track through some of the regulatory processes, because there is really no alternative to treat these kits today. So I think that's certainly helps on the regulatory side and it's for good reason both on the science and the need that this is likely one of the first treatments to be available. Once it becomes available that becomes another question to how is the procedure paid for, which centers like we've already talked about are capable of delivering the therapy, etcetera, etcetera. So I do believe that the rush and the excitement to treat these patients will make the sort of getting through that queue of how many patients PTC mentioned, I think you said 300, I think it will go relatively rapidly. I don't want to count [indiscernible]; again, there is not a single neuro gene therapy approved. So this first treatment is going to be the first possibly be the first to go through it which undoubtedly will find some challenges that we didn't appreciate it at the beginning.
Henry Melon: Fair enough. Thank you.
Operator: [Operator Instructions] Our next question is from [indiscernible]. Please proceed with your question.
Unidentified Analyst: Hey, guys, I meant to ask this other question, I just didn't want to take up too much of your time. But on the trial partners that you have, how many of those are in gene therapy? And then how many of those would you consider to be in late stage, so like Phase II or later?
Joe Burnett: It's a good question, let me, if I can navigate through it on, on the gene therapy side, I would say between 50% and 75% give or take somewhere there and the other let's say 25% plus could be a mix of sort of traditional pharma or stem cell things like that, but it's certainly specifically in gene therapy today. Let me see here and as far as the timing of the trials themselves, I would say it's less than a handful that are actually in that late stage sort of Phase II, Phase III, I would say. Now the one tricky part that I sort of walk them through this is that one partner could potentially have multiple shots on goal. So for example a company like PTC is not only working on AADC, they're also making progress on Ataxia and Angelman syndrome other sort of rare inherited disorder. So one partner might have two or three trials for example. But I think for the reality is that there is probably less five or less that are in what we would call later stage one. Now, one of the things to keep in mind Mike is that some of the indications we're going after might not need a Phase II or Phase III depending on what the application looks like. So for AADC for example again there is no alternative, it's really more of a compassionate use standpoint for commercialization that might not require something like a Phase III trial and that the data already collected in first phase could be enough to at least give these give the chance, so that's the other thing to keep in mind.
Unidentified Analyst: Okay. And then one other question I had about when you expand into these other trials and let's say like couple of them actually pass through FDA approval, How does that change your SG&A, is it safe to assume that essentially all of the heavy lifting after it's approved so marketing and all that stuff is done by the trial partner and then you guys are just kind of going along for the ride or do you expect a bump up in SG&A?
Joe Burnett: I don't think a significant one. I think in some cases expansion to a geography creates one as I mentioned in Europe, we have to put some feet on the street there, but really the most impactful SG&A spend is really on the clinical specialists that are there to support the case themselves, because it's one thing to do a calculation of saying, well, it's going to do these many cases and you can report many cases per week. It's not quite that simple because again in some of these cases they're very sick patients that need to be treated urgently. So we need to have excess capacity. So we always have someone we can fly in an emergency. So, but above and beyond that's our biggest SG&A from a marketing standpoint, I think some of it is like you said paid for by the other companies, but really where we're looking to take the reins is in the neurosurgical community. So, if you think about all these companies that we've listed that we work with their primary customer historically has been a neurologist in a small molecule setting, so they wouldn't necessarily go to the ASF Functional Neurosurgery Congress and we will be there. So, I can certainly see an opportunity where we might have an exhibit or sponsored symposiums and then some of our partners would be co-sponsoring with us and things like that, but I don't think things that we already do it's not something that the massive addition. And on the sales side, this is an important thing to is that I don't think we need a massive sales organization either because as I meant I know if you heard the response earlier but the future I think looks like a lot of procedure anchored into true centers of excellence that are doing a lot of them, so it's more likely. There is a hundred super high-volume centers in the United States as an example not like cardiology where you have 1500 hospitals. So we don't need sort of a sales team much larger than the team we have today to be able to cover that number of accounts.
Unidentified Analyst: All right. Got you. And then so is this the core, I know you guys have mentioned spine and I think it was prostate potentially down the road. Is that still too far off to even consider expanding into or are you guys just completely focused on the neuro side right now?
Joe Burnett: Yes, I think we have done some work with biologic partners in spine for certain products and similarly the CLS laser that we've acquired the neurosurgery license to that includes both cranial and spine. There is some need for laser ablation and spine tumor for example, but I'd say it's definitely not the highest priority right now, it's pretty much a cranial play for us. The prostate work that you've heard before is something that we do have a role in. However, it's not sort of the strategic core, it's us helping out CLS who will continue to market and sell their laser outside of neuro on their own. So, what I mean by that is we own the license for neuro and spine worldwide. However, they also signed us as a distributor for like you said prostate in North America. So in that sense, we're kind of helping them by facilitating installs and leveraging our clinical team to support cases and do training. But we're not really involved in clinical trial design or reimbursement or marketing in that prostate space kind of we leverage what CLF has and CLF still does not have clearance in the United States. So we're today we're not really doing much with it.
Unidentified Analyst: Okay, great. Thanks, again.
Joe Burnett: Okay, sure.
Operator: There are no additional questions at this time, I would like to turn the call back to Joe Burnett for closing remarks.
Joe Burnett: All right. Thanks, Brock. As always thank you all for your interest and your support of the entire ClearPoint team, including the surgeons and patients that we are serving on a daily basis. We work here at ClearPoint because we know we are helping the patients and their families during some of their darkest times and we're honestly, we're thrilled to have you as a part of this journey with us. So, thank you very much and please feel free to reach out with any questions in the future. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.